Ronald Slabke: So welcome to the Hypoport SE 2024 Preliminary Results of Hypoport. I have to start this recording here by myself for now. Jan Pahl, you all know him has some technical issue, so he can't introduce me. But, well, we will handle this together here. As you are aware already because you read already our communication from the morning, Hypoport had a strong year 2024. We had a double-digit growth again as we are used to be -- as we are all used to be and close with solid numbers. Core reason for this positive development, where the real estate and mortgage business, where we saw a significant recovery of the market. So the trend has turned and after the worst mortgage years for decades, 2024 was a certain uplift again. And we used this added our market share gains, and used our new cost level for an outperformance on the profitability side. Financial platform and insurance platforms as well distributed positive impact to the group level on their level. So let's start right away with the most important area, real estate and mortgages. The segment is linked to the German housing market. Just to memorize it German housing is linked to net migration to Germany to and high demand from the existing population to acquire their first home when they are triggered. Triggered means, typically when they expect children’s and want to create their nest. And Germans buy once in a lifetime, and they still do this. Nothing changed in this dynamic in 2024. What changed in 2024 is that historically, 58% of Germans are living in a renting market. Only 42 choose to acquire their own home. And in our current environment of regulation for rents, it's -- we are in a locked situation of the renting market. People have pretty old low renting contracts, don't leave their apartments anymore, so new families can't move in, because nothing comes to the market. This leads to the fact that more and more middle class families when they are triggered need to choose, to go for the homeowner market. They can't rent again. So this closed renting market, is a massive change in the environment here in Germany, and going forward will influence, the size of the mortgage market significantly. And we saw this in 2024 for the first time, that it had an impact. Will the renting market stay closed? As this is a pretty certain guess for the upcoming years. It would create massive social tension, if we would lift the rent regulations here, and they're just newly-voted government, of CDU and SPD, announced already that, that they'll keep the rent regulation as it is for the next years. So there is no chance of an de-regulation in this area in the current political setting. This leads, as well to the withdrawal of private landlords from this market, because of the un-attractiveness compared to the yields that you get in other areas of investments. So, and significant amount of, properties which come to the market is from small landlords not re-renting anymore. From the consumer side, the environment regarding the affordability of home ownership improved in 2024. We saw a slightly lower interest level compared to 2023 and a pretty stable environment here. And this was helpful. On the other side, the incomes improved, increased because of the inflation in 2022 and 2023. And with a certain time lag, it comes to the income level. So people have higher incomes, interest rates are lower, real estate prices are stable or trickling up just. So the affordability of houses, homes, convicts have a significant improved in 2024, and with this, the number of transactions. Last but not least, the regulatory environment for home ownership in Germany, didn't change in 2024. It stayed as worse as it was in 2023. We have an absolute high tax on acquiring your first home or any other additional later home. You pay, 6.5%, property acquisition tax. This is ridiculous. We don't -- we haven't had any significant support programs from the government for households, which is an affordability issue. This was all limited to really to nice markets, which didn't fit the demand of the consumer side. So no support as it was before. Regarding the regulation of rent of building efficiency, we saw an halt in 2024, but this after, terrible discussion in 2023. So as well on the low level, stability. And, with all this, it's actually remarkable how the market recover in 2024 already in the buying area. Later, more about this. So, view just on the chart and the numbers, just to visualize what it means, stable interest rate in 2023, it was more around 3.5%, the best rate here in Germany for 10 years mortgages. In 2024, it was around 3%. Still more than, in the extremely low interest rate environment of 2022 and earlier, but, it was taking some burden and people actually got used to the new reality that their interest rates are big. It's not interest-free anymore, this environment. And, with the pressure on the renting market, on the lower right side, you see all-time low in renting units available to the market. The attractiveness of the properties for sales, which had a new high in numbers is just there. So when you have -- when you got triggered and you have the choice staying where you are, no solution in the lending market, you consider more and more to realize your dream to have your own property. And you have a wide choice right now, something which was not there a few years ago. As that positive for the market, the prices trickle up especially in metropolitan areas. We saw an uplift in average of 5% for our condors, which are usually in metropolitan areas, while single family homes increased in prices just roughly 3%. So below this in the rural areas. But all in all, stable price environment. So if you buy, you are not risking to for sharp price declines which may come -- something which delayed the market slowed down the market in 2023. What you can see as well new building. So new construction of homes prices for this still high even in the last six months trickling up again. So it's still a huge spread with between existing homes and new homes to be built, which let people who usually would build something new still buy something old because of the discount they get for existing properties when you see the development here in the last three years. There is a significant spread of 15%, you can say, and this means in in a room more for the children or not. So how the market performed in this? We closed with 21% increase in market volume reported by Bundesbank EUR189 billion, EUR50 billion per quarter. And you see in this chart since for the last five years indexed and deflation, adjusted that we are still below everything which we saw since 2019. So we are roughly on the level of 2017 when you look on the market. On the other side, Europace grew last year by 27% so outperformed the market significant again. And on the long range for the last five years, you can see that outperformance. So we are with Europace on the transaction volume of the year 2020 now. So we recovered significant better than the overall market. So how we recovered significant better as well? The total volume plus of 37% is distributed by three major sales channels. Our own franchise network under the brand Dr. Klein declined grew by 30%. Second best recognized independent mortgage bank here in Germany, and keeps taking market share from traditional banking branches, while the banking branches, especially of the regional banks, savings and corporate banks, we still migrate. And we are successful in both of the sectors to onboard sales structures to Europace in both roughly plus 50% and new record high volumes for both of them. So when you see this here, you can add up and say, okay. Who lost? And you could say the major weak point of the year 2024 was our traditionally large cooperative partner at Deutsche Bank, who still struggles to reenter the mortgage broker market. Thanks to technical issue in the summer of 2023. They lift the market, and still they are not back. And so, this is the reason why Europace only grew by 27%. Without this issue, we would be above the 30% of Dr. Klein as well. So when we look on the side, for what the mortgages are used, so what we fund, or finance actually, it's remarkable to see that, the purchase area of the market is from the volume on Europace already back to the pre-crisis level. So we -- this two quarters of EUR13 billion in the second half of this year, we are in-line with the record levels before this crisis. So why is it? In general, you can say in the market, the number of transaction is still below the pre-crisis level, significant, roughly 20%. The prices are as well below. You saw the price chart something 10%, 15% in average. Prices are still lower than in the pre-crisis environment. What changed is the structure of the purchase market. While before the crisis, a lot of investors, German small landlords, or international investors bought as well properties and increase the transaction volume of this market. In 2024, the investment part, especially of foreigners, is heavily distressed. So, foreigners buying in Germany is a very untypical moment right now in this market, so that the domestic demand for housing in this purchase market is relatively higher. This is has a much higher probability to be transacted by Europace than foreigners. So the mortgage market our mortgage market, our part of the mortgage market profits from this change. And when we are looking forward, we expect this to soon outperform the pre-crisis level because, as I said earlier, family can't rent anymore. They need to buy. So it's not an foreigner buying to let. It's a domestic living family, which, buy their own property now. And this shift in the market will improve the volume of the market in the purchase area. So now to the three other ones. Still distressed is the new contraction -- new construction area. We saw, a healing process of single family homes being built in the second half of 2024, but still we are 50% below pre-crisis level. And especially in the area of convicts or new construction of multifamily homes, which are sold separately in -- is on a historic low level right now. There was no recovery in 2024 for this part of the market, because of, actually, the lack of, international investors as well. So the demand side is still too weak on the current price level, and you saw the construction cost 15% outperformed the market price. So they still need to get need to close that land plus construction is affordable compared to the existing stock of property. It will trickle up in 2025, by sure, but we still need a long recovery process until we are back to the pre-crisis level. And the pre-crisis level was not sufficient for the market. We need 500,000 units finished every year in Germany. The goal of the last government was 400,000 units. They reached in 2022. So on this record high level, if you want to say so 300,000 units financed and later bid per year. And right now, we finance 150,000 units. So we are lacking massively in financing of construction, and what we are not financing right now, what we didn't find is in 2024 will not be built in 2025 or 2026. So with this in mind, we are pretty certain that the price pressure on the existing property stock will increase and the 5% which we saw this year in uplifting prices will be the lower end of our expectation for 2025. And this is lifting up the mortgage volume per mortgage as well. So next still distressed area of the market is the refinancing area. You are aware of this already. I think that in the years [2020 12 under 2020 15], people usually already closed 15 years mortgages in Germany, not the typical tenant because it was pretty cheap already there at this time. And people with this 15 years mortgage don't need to refinance right now. They can still wait a couple of years until 2027 for the 2012 cohort. And with this in mind, it's actually pretty logic why people don't refinance right now when they still have time. So this may change -- this will change in 2027 abruptly if we don't see a lower interest rate earlier. And then we will recover to the pre-crisis level of refinancing volume, plus higher volumes because market growth since then. And last area, modernization for the decarbonization of our homeownership stock something where we would need EUR20 billion in investments per quarter and with our market share, EUR5 billion, EUR6 billion we should see on the platform. We don't see this. It was a massive goal of the last government. They failed. Terrible. They, as you can see even reduced the investments done in this area with their actions, and it's not really on the agenda of the new government right now for the next four years. So I would not expect a recovery in the upcoming years of the modernization and the investments in our household stock. This will come later. So we need to decarb until 2045 maybe 2050 if we go back to the EU goal, but this is a massive investment that in some moment needs to be done. And we need a reduction from the dependency of gas and petrol. And well something to wait for as an improvement of the market in the upcoming years for us then. Okay. Last structural view, our position in the sales side of the market and in the comparison to the moment eight years ago. Market was overall a little bit bigger at this time still. You see not inflation adjusted, where we are. Inflation adjusted they are pretty similar then. You see that, our market share in the broker area improved slightly. What was more relevant for the total numbers is that the brokers grew massively in this time from roughly 20% to now close to 30% market share. So they outperform the bank branches. We are their backbone. We profit from this trend. This trend is going to continue in the upcoming years. Brands like Dr. Klein will take market share from the banks. The other two major achievements that we had in the last eight years now is our significant role in the cooperative banking sector and in the savings bank sector up from close to nothing to now a quarter in eight years and, with a strong performance, last year, 50%. So we plan to continue this and, to get the whole sectors both of the sectors together with our joint venture partners on the platform. So now after all this good news from 2024, a little bit mixed review on our performance in the property valuation area. You are aware of this. We entered this to integrate this in the mortgage process, and we still believe that, this is the best solution for the market when we integrate the mortgage process and the probable valuation process in one seamlessly integrated digital process. So we made huge steps forward in 2024 to integrate this. Still a long way to go. Unfortunately, it's very regulated process in Germany. Second, we choose to enter its market labor intensive, and this was under the assumption that, we have a stable market environment, a pretty secure approach. We hadn't had a stable environment. We got a crisis 50% down in the market with a lot of labor in Germany, nothing to deal easy with. And with the strategic goal to play a role here and to integrate these processes, we had to stay and we had to restructure. So 2023 was, painful. 2024, we improved significant. Still, we are away, and, will not be neutral from the profitability perspective in this year. But we progressed significant. We see that we can make this business profitable, plus with the integration, your pace, provide a solution for partners, where even Europace is profiting from a better process thanks to the integration. So we will keep going forward here. We will, again, massively reduce the losses in 2025, and we can be sure about this already, because the projects for this are already finished. So it's a certain thing that is going to happen. And, this further digitalization of the process and integration, we are sure that, in 2026, we can reach breakeven. So for the segment in total, it was a well-positioned year in the transition. Double-digit growth, including the losses in revenue and gross profit in value, we grew by 26%, outperforming the market. We massively increased profitability. You see our new cost structure here. The market is still on the level of, 2016, 2017. At this time, we didn't, this amount of money in these units. If you exclude the cost of Value AG, we had EUR35 million in 2024 and with an expected dynamic in this market, which is similar this year to last year, so a double-digits growth again. We expect that this is going to fast and have a positive impact on the total group level as well and distribute the major uplift in profitability which we expect for the group. More about this later. Financing platform. First, part is the housing association industry, an industry which is responsible for social housing. Normally, for the last years, you should expect massive investments in social housing. It didn't happen because of the regulatory environment of rents and the lack of subsidies. So this industry, even when it's needed, is not investing right now and, saw in 2024 even a lower investment year than already in 2023, which was a crisis. So, the total investment declined in this industry. We kept our finance, the volume, our transaction volume stable EUR1.2 billion. This is already a success and it means we took market share in the sector again. We had a core broker there. The other options are just going directly to banks. All other brokering offerings are small and more or less irrelevant. Finally we developed and scale up a system for managing rent deposits for housing associations in close cooperation with the banks. Yeah. The amount of rents, which are or rent deposits, which are within our platform increased again. So we take market share. It's in small steps, but in a steady process we roll this out in the industry. And it will be especially interesting in combination with our ERP system, which is pretty new to the market and a huge success right now. So we could lift our -- the numbers of units under contract to 460,000 last year. This was a speed uplift compared to the previous year’s again. So a net gain in 120,000 units and this is already a big achievement. And we had a core aggressor in this market with a lot of outdated ERP systems all belonging to the same group now. And housing associations feel great about our offering. We have the most modern system. It's an open system. You can freely integrate this with a lot of third party solutions, which gets a seamlessly experience for your client, high efficiency in usage, and all this out of the Internet working around the globe. And this is something which is just appealing and already all migration slots for 2025 and or the beginning of 2026 are sold out to clients. Even more successful, you will see this unit when that we announced just two weeks ago that we cost 500, 1,000 units now. So the speed of migration, the speed of signing up for our ERP platform is high, and it's a huge success. We still invest here. So this is last year, 2024. We still recognize the loss of EUR4 million a year, because it's a business model where you generate long term recurring revenue. And we build this up. And with this in mind, we are happy about this investment, and right now we are scaling up the speed of mapping this up to conquer as much as possible of a market of 6 million units in Germany. Second, part of the segment is our financing for small and -- no, German Mittelstand corporate finance, corporate here in Germany, with an distressed market environment you can say. German industry, German companies were really angry with the regulatory environment, the German government and EU created during the last years. And since three quarters in 2024, we were in a recession because of a lack of investments done. The government response was weak, not there you can say. And in the end led to the new voting which we saw at the end of 2024. So old government is gone. We feel a positive sentiment now, but for the last year, we have to report terrible numbers. They already not, very strong market environment of 2023. It was even more distressed in 2024, more than, you can see in these numbers. But, yeah, our project volume declined by 24% on a long-term low, and, normally, we are in a growth path here and acquire more. Outlook, as soon as the new government is, established, it's clear that we invest, EUR500 billion in infrastructure. A lot of these projects, which we acquired here already and are on the pipeline will go forward. There is a huge potential of uplift here, when we're coming back to an industry, politics vision in favor of the industry and not tries to regulate it anyway. Last product segment, personal loan business. As well distressed market environment, three months -- three quarters of recession, doesn't give consumers confidence to borrow something, and, banks are as well more critical about the quality of borrowers with a recession environment even here in Germany. So it's a great success that we, in a stagnating market environment, grew by 12% in the transaction volume. We lost some of this, thanks to -- in the transition. Too many loans were not approved finally of Bundesbank because of their change of credit cardiars. But it delivered, a revenue growth and the profit growth in this segment. Potential is great with our approach to use banks and offer them a third-party solution for their networks, for their sales structure to meet all their demand, not just with their own product. In total, the financing segment provided, and this is all -- in this market environment was, which was really worse than compared to 2023, a small growth and a significant uplift in profitability thanks to a very, very intensive, cost management program, which the whole segment want to outperform the previous year. So last segment, insurance business. You are aware of this three product areas we are addressing. Domain from the volume size, typical personal insurance, where we see a growth path in migration. Still far below this what we expect, but we continue double-digits growth to bring a contract on our platform, typically still from our, on premise solution which migrates to the system. Validation, the share validation is well improving, and this is, the link, not just to the sales side, but as well to the insurer side so that, the datas are validated and with this automation as possible. Otherwise, you're operating on non-validated datas, which is, just --. Second offering of the segment in the market is occasional insurance business, where we see a strong growth, 34% in volume. It's a market where we are right now in the Duopol. Two platforms are offering this servicing in this sector, and we see as well-positioned to be one of the two survivors in the end. The other is a start-up. Let's see if they get their next funding, which they soon will need. Corify is our industrial insurance business. So everything what doesn't go in standardized, policies, where which is auctions -- auction risk special risk of special -- of industry groups. Here, we established a new platform. 2003, we started it in a better -- we expected it to bake through in 2024. Still not broke through. We have four large company partners, industrial insurance brokers on the system now for the first module, but it's still a too slow process to see this already as a full success. So success is delayed, but we are still on track of signing up more of them and we expect 2025 now to be the breakthrough year for this unit. In total, insurance business, slightly optimized at probability, left some business behind, which doesn't fit in our long term strategy, growth delivered so that revenue and gross profit are more or less stable. So for 2025, we expect a positive trend here, slightly improvement the growth speed and as well profitability and again an uplift in the contribution to our general improvement of profitability for the group. Total group level, a better year than 2023, but 2023 was the worst year in our history. We are back on track growing and using all opportunities in the market which we already invested in. We are still very conservative, doing something new. We want to see new record high levels and profitability before we start investing in new innovations in this free industries. So for now we will keep doing what we did in 2024 successful and bring this in 2025. With this in mind, in a historic context, so 2024 got close to the record high gross profit in 2021 already, but you see our massive investments since then and inflation in the end as well. And is this cost base for our employee base. So for the profitability side, we are still significant away from a high level. For 2025, gross profit we will see a new record. For EBIT, it will take us to until 2026. Yeah. How we will achieve this in 2025 and 2026? First of all, the major support we will get from the market. We expect for 2025 an uplift to EUR220 billion in mortgage volume here in Germany, up from EUR189 billion in 2024. So plus 10%, you can say. This is less than the 21 which we saw last year, but it's -- the 10% uplift is under all circumstances and all risk on a political side and geopolitical side, a solid number for the German market. January, Bundesbank reported EUR19.7 billion, so in line with our expectation for 220 this year. After this, we are certain that we will see a recovery of the market back to the old growth trend. Thanks to increasing prices in the market, thanks to the migration of previously renters to the homeownership market here in Germany, thanks to delayed but coming recovery of the construction site. So new homes need to be built with a constant net migration to our metropolitan areas and, thanks to a recovery of the refinancing market. Just with this, we will reach the EUR75 billion to EUR100 billion area, which we are coming from, inflation adjusted already. And the potential uplift of high investments in energy efficiency comes on top and, would bring us faster in this area. But as it looks for now, the next four years will not be a time, where we happily invest there as a German society. So for the different platforms, this is a summary what we expect, strongest, performance from real estate and mortgages to the group level and some support from financing platform and insurance in addition. In total, we expect a record EUR270 million in gross profit for this year, and this still is a mortgage market business, which is on the level of 2018. So you see the potential, I would say. We expect to double our EBIT to area of EUR30 million to EUR36 million this year. And, besides this, what comes from the market, these are, a lot of projects which we, across the Group, we are driving forward in 2024, so we have a pretty solid expectation here. And, yes, 2026, expect us to return to the double-digits growth and I personally expect for 2026, a new record hyper visibility level, but let's, finalize this when we saw the 2025 numbers. Hopefully, everything globally and the local here in the world is going fine up until then.
A - Ronald Slabke: So first question is about, the impact of the German infrastructure fund of EUR500 billion, which still needs to be confirmed, on the real estate sector in Germany. Let's say, in general, this should be infrastructure investments, public investments, but as well, enabling, enhancing private investments. So we expect a massive impact on the corporate finance side, because there is the major potential for the uplift. We expect as well as support for the housing construction sector with a certain level of delay, let's say. The focus there should be, homeownership, so single-family houses, families to support families to build a new home, and as well social housing, both market we address. So in the end, you can say everything what is not going into bridges and schools, will be investments in areas where we are active in the German market. So second question is, if we saw any negative impact on the mortgage-lending volume because of the recent interest rate change. To be fair, it's too early to ask this question. In general, the uplift in bond of 50 basis points resulted in roughly 35 basis points uplift in prices for mortgages. ‘25 is a significant uplift and was fast. So, you can say shock the market. Every consumer who had an open offer and could accept it -- will have accepted it, which brings us to for a couple of days, higher transaction volumes than usual. And this was just the last days you can say. So going forward, mortgage rates are now again 35 basis points more expensive than they were a week ago, this may delay some demand. It's not so significant that it's really a massive change in the cost structure. When you look on the interest rate chart for 2023 and 2024, you see that we are still in medium area with this 35 basis points there. We were quite on the lower end before this interest rate hike happened. So I would expect a couple of days or weeks of some delay, but not a lasting impact on the mortgage volume this year. As well let's say the increase in interest rate for whole Europe in this moment for all governments, for all government bonds could let's say -- could be interpreted a little bit as an overreaction taken to consideration that this is just a budget plan. It's not that the German government is going to lend to borrow this EUR900 billion right away. This is something which is going to happen in the next years. And with this in mind, I would say there is a certain chance as well that we see some normalization as well on their interest rate side. So next question is about our operational cost in the real estate segment, real estate and mortgage segment. In general, we keep focusing on the current activities. So we are not expanding into new areas. We are not starting new products right now. We first want to see a higher general profitability of our units, including real estate and mortgages. At this state, there will be an inflation based uplift in costs. And, let's say I would say as well a small number -- a small percentage of uplift in cost because of the normalization of the market and some functions where we are linked to market volumes. But in general, we keep the cost pressure high, so expect a mid-single digit increase in our cost side. So if you have any further question, you need to use the chat today. I will give you a moment. Someone is typing. And if not right now, you can ask your question anytime to Jan Pahl. You will hear his voice on the phone. He's here as well, listen to me, but can't talk. There is a question. Okay. If Q4 profitability met our expectation for the group, if not why? Actually, it met our expectation. It was a good final quarter. We saw a solid market in real estate mortgage business. We could realize a lot of projects. Value AG progressed, in their profitability level. So, in general, we were fine with this what -- how we finished Q4. Okay. Our strategic perspective on Value AG and future synergies. We entered the property valuation market to provide an integrated solution to banks. So we power the whole mortgage process from first contact of the client, and we established the touch point, to digitalize the touch point with the client for all mortgage advisers, brokers, and in banks here in Germany. We powered the adviser. We powered the loan officer, and Value AG has the goal to power as well the evaluator and appraiser. We don't see any other feasible solution in the market with this perfect integration along the value chain. Yes. This is the strategic goal for Value AG. And in small steps, under a massive regulatory framework, we progress here. And this will not just turn Value AG, cash flow positive profitable. It will turn your pace in a very powerful solution, when you compete with the fragmented solution, where the appraisers and evaluators are not integrated in a process where all the information that, are needed in the mortgage process are, coming from third-parties, and you have a patchwork situation in your mortgage process. Europace will deliver this all, out of one hand, fully integrated in one solution, and this will make Europace stronger. And, in the end, it will create a business model for Value AG, which will be less labor intensive for us. We will outsource labor again in this process in a couple of years, but it will be, profitable and contribute to the overall, group level and to strategy. Next question. Okay. Why we don't expect, market volume to go more than 10%, especially after the strong general figures? Okay. Let's say, we issued our expectation for this year before Bundesbank issued the January numbers. We saw a strong January. So we agree with Bundesbank. But to be honest, there are very certain uncertainties. So, would I say right now that, the chance for a larger growth in the mortgage market is higher than below our expectation? Yes. But with all what we see in the geopolitics and as well, there's still uncertainty in forming a new government here in Germany. Am I certain about this that this will, 2030 or 2040? Will it end this year? No. So we stay with our expectation from now. This is integrated, and then we see a positive trend here in the upcoming months. First, we will see it with our quarterly results. Second, we will adjust our expectation for this year if necessary. Market share growth of Europace this year and next year. So, you saw our transaction volume growth outperforming the market in 2024. We expect this year to outperform the market again. So when market is up, this 10% which we -- for now guide we expect the transaction volume growth of something around 20% in Germany. So 10% outperformance of the market is our goal every year. And this is in the end the part of our current expectation for this year. On the long run, the outperformance of the market needs to slow down because our share is getting too significant. So even when you can't compare transaction volume and Bundesbank numbers perfectly because they -- transaction volume is pre-cancellation and Bundesbank volume integrates as well certain credit volume, which is not new mortgages. There is a link between these two, but you see that somehow something between 25% and, 30% is already going through Europace. And with this our outperforming track record is going to slow down when we get closer to 60%-70% of the market. But this is still far away. So for now we keep our 10% outperformance as a goal year-on-year.
Ronald Slabke: So now nobody is typing. Thanks for your questions in this English slot of the call. Hopefully, next time, Jan is moderating again. If you have any questions, come back to us. And for now, I thank you for your attention. We're here again in two months. Hopefully, there's a new government here in Germany already. Hopefully, there's no huge global events up until then so that we see a stable start -- a solid start in 2025 that have a positive outlook for this year. Thank you, guys. See you then. Bye-bye